Operator: Good afternoon, ladies and gentlemen, and welcome to the Wacker Chemie AG Conference Call regarding the second quarter results 2016. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me now turn the floor over to your host, Mr. Joerg Hoffmann.
Joerg Hoffmann: Thanks you, Operator. Welcome to Wacker Chemie Q2 2016 conference call. My name is Joerg Hoffmann, and I am the Head of Investor Relations at Wacker. Presentation is available on our webpage on www.wacker.com, caption Investor Relations. Before they begin, allow me to point you to our Safe Harbor statement, which you will find at the beginning of the deck. With this, let me hand you over to Dr. Staudigl, our CEO. Dr. Staudigl.
Rudolf Staudigl: Thank you, Joerg. Ladies and gentlemen, welcome to our second quarter 2016 conference call. Let me walk you through our presentation starting on page 2 with the Q2 highlights. Q2 results exceeded the market expectations. The good cost and efficiency performance in chemicals as well as positive pricing effects and cost benefits in polysilicon drove our results. The second quarter recorded sales of €1.4 billion with an EBITDA of €300 million. EBITDA excluding special income was 21% better than last year. Similar to Q1, strong volumes and efficiency gains drove chemicals EBITDA. Siltronic benefited in a weak pricing environment from lower hedging costs and cost improvements. Polysilicon saw sales essentially unchanged, but a sequentially better EBITDA reflects lower ramp costs, price improvements, and further efficiency gains. In polysilicon, the ramp in Tennessee continues well and as expected. The overall market environment in solar polysilicon continues to be positive with strong volumes. As leading indices show, pricing picked up sharply from historically low levels in Q1, and are now slightly weakening again. Monocrystalline products continue to make their way in the market as cost-conscious buyers focus on overall system cost. The result of the combination of fierce cost competition and the drive towards higher-level technologies should make solar even more attractive going forward. We support this industry development with our commitment to quality and tech service offerings. Our Chemicals businesses saw good volumes in essentially all areas. The performance of our European business here is notable. Against somewhat slower general chemical industry sales, our segments performed better than the rest of the industry with strong volume gains. This is a result of a strategically good industry positioning in diversified end markets, leveraging global reach with local customer interaction. Our Chemicals businesses continued to develop well, and the shift in our investment strategy towards more downstream investments supports this momentum. I'm proud to say that across the Board, all our segments saw very good cost and efficiency performance in Q2. On page three, our guidance for the full year is largely unchanged. We now expect to reach the upper end of the range for our full year EBITDA projection. All other guidance items are unchanged, except for the tax rate, which we now see below 40%. Altogether, this was a good quarter. Macro effects such as the potential fallout from Brexit caused some concern. After good performance in the first half, we are very confident about our full year guidance. In fact, as I said before, we now lean more towards the upper end of the range we communicated previously. Let me now hand you over to Tobias for more detail on the financials.
Tobias Ohler: Thank you, Rudy. Chart four shows our P&L. I guess everything in here is largely as expected. Our tax rate in Q2 was 32%. This is a result of a better profit before tax and an improved regional profit distribution. For the full year, we are now optimistic to stay below a 40% rate. From 2017 onwards, we should reach tax rate of about 30%. We reported a small item of €7 million in special income in Q2 after €87 million in Q2 last year. For the full year 2016, we continue to see no significant additional special income. Page five shows our balance sheet. Prepayment levels are now down to €360 million; the number was €566 million a year ago. When adjusting for the retention of prepayment in deported contracts, this shows a run rate of about €150 million due to ongoing deliveries to our customers. At €1.28 billion, working capital was up 18% compared to year-end, reflecting an operations-driven increase in trade receivables. At the same time, trade payables declined substantially following a reduction in investment-related liabilities for the charts inside. You will note that our pensions number is up again. At €2.4 billion, we see a similar situation to Q1 2015, when we were at €2.2 billion. Pension liabilities are now 22% higher than in Q1 and 50% higher than at the end of last year. Over the last two years, we have seen bond rates fluctuating significantly. Rates were at 1.65% at the end of Q1 2015 at 2.75% at the end of last year and are now at 1.60% at the end of Q2. The lower discount rates result in higher pension liabilities. This corresponds to an impact on equity which is mitigated by higher deferred tax assets. This has no P&L impact. I believe this is a mathematical exercise, that clearly exaggerated the economic reality of our pensions scheme. Our German pension fund shows the historical return on planned assets of around 4%. Nevertheless from a prudent financial perspective we flagged that we assess the situation and look to potentially increase our cash contributions to our pension funds. This would have no P&L impact and no impact on our net financial debt guidance. Needless to say, it also has no impact on our dividend policy. On the next three slides, you can see our chemicals businesses. Silicones came in with sales up by 1.6% and an EBITDA margin of 18.2%. The major drivers for this were volume growth and efficiency gains. For the second half of the year, we see a performance pattern similar to last year, but on a higher level. Polymers saw strong volume growth and high plant loading, leading to a good cost performance. Sales were held back by some price declines and unfavorable currency effects in some emerging markets. Raw materials seemed to have passed the trough. In both segments, silicones and polymers, we saw a 2% to 3% growth rate in the first half. We're now adjusting our full-year sales guidance to low single-digit growth. This is based on good volumes but also takes into account headwinds from pricing and foreign exchange. In silicones, we expect a significant EBITDA increase, now targeting the 17% full year margin. In polymers, we target a material improvement in EBITDA for the full year to about 20% margin. Moving on to polysilicon on page nine, we were sold out again effectively throughout the quarter just as in the previous quarters. Volumes in Q2 were slightly below Q1 as Q1 saw some reductions in inventory. Following a pickup in demand in the market, prices recovered from historical lows in the course of Q2. We saw positive effects from lower ramp costs, product mix shift and strong demand for our products. For the full year, we expect to ship close to 70,000 tons. As Rudy said, our ramp in Tennessee is progressing well with a focus on our signature quality levels. We do not expect additional ramp costs in H2, which should simplify modeling for you. We continue to see strong demand for our products in Q3 as end markets continued to grow fast. We project a total global solar PV installation of between 60 and 70 gigawatts in 2016. Siltronic on page 10 saw a slightly better Q2 than expected, benefiting from lower FX costs and continued cost reduction efforts. For the second half, Siltronic management sees currently no further rise in demand for silicon wafers as end markets lack stimulus. Our net financial debt on page 12 increased slightly over year-end 2015 to €1.15 billion after about €100 million in dividend payments. Gross cash flow from operations increased in Q2 by 27% over Q1 to €172 million. At the same time, cash flow from investing activities declined by about 50% sequentially from Q1 into Q2 to €97 million. This reflects the switch to a lower CapEx operating mode as discussed previously. Now, let me hand you back to Rudy.
Rudolf Staudigl: Thanks, Tobias. Before we go into the Q&A, let's have a quick look at current trading conditions. We continue to see good momentum in all our businesses. Holding pricing firm is an issue in all segments, but works better in the chemicals businesses. We see very high plant utilizations in chemicals and polysilicon. Successful new product introductions support sales in many segments. Recent events from very near to our base are showing that the world is not becoming a safer place. Market disturbances from Brexit and other potential risk factors such as the Italian banking crisis may well influence the industries we're working in. On the other hand, we are confident about our performance for the full year. We see us reaching the upper end of the range of our projection for EBITDA excluding special income. Effectively, target an EBITDA for the full year of about €1 billion. And if everything goes well, we could even slightly exceed it.
Joerg Hoffmann: Ladies and gentlemen, this concludes the presentation today. Thank you for your attention so far. We are now happy to answer your questions. Operator?
Operator: [Operator Instructions]
Joerg Hoffmann: Operator, the first question is from Andreas Heine from MainFirst.
Andreas Heine: Good afternoon. The first question I have is a small one on raw materials. You say they are in the process of bottoming out or get into the trough. I would assume that at least silicon metal is something where you have still quite some benefits going forward in the second half or maybe even in '17 on the average levels. Could you elucidate a little bit what you see on the prices going forward includes three on polysilicon. I think you should have quite a good visibility with, on the one hand, quite a lead time until you deliver the business what you have made on spot prices and then the contract prices you should know it as well. So I would assume that even if spot prices are going down now, that sequentially from Q2 to Q3, prices for you are still on the way up. And could you elucidate a little bit how the split between the volume is from the first to the second half in polysilicon? So how sharp the ramp up at Tennessee is and how important the inventory sale in the first quarter was? Thank you.
Joerg Hoffmann: Andreas, on your question on raw materials, you're absolutely right that silicon metal is still trending lower. We discussed on the last call that there is a time lag and I think it's too early to talk about 2017, but we see lower pricing in silicon metal in the third quarter, and yes, most likely, that won't change too much in the fourth quarter.
Rudolf Staudigl: And on the polysilicon pricing, I mean, I'm sure you know, the development of the [indiscernible] index, for example, that is sort of slowly going down by about 1% per week and now I think from the peak, it's down something between 7% and 10%. So this decrease is lower [ph] than what we saw in the past actually. In terms of our visibility, you have to take into account that it's not that we see the pricing after, let's say, a six to eight weeks shipment time to Asia. You might know, and I'm going to tell you and everybody who is listening. We ship after we received cash or LCs. So, before we ship, we know what the price for the material is that we shipped. So we are very close to the market. I mean what we see is that volume demand is still very healthy and we don't think that there is an overcapacity for a very high-quality material in the market.
Andreas Heine: From the 70 kilo tons you are approaching this year, is EBIT was distorted by inventory set in the first quarter. Is the split there 60/40 or 45/55? With this ramp up, is there any kind of guidance you can give and maybe sorry for my not understanding fully this, what you said is the pricing, just spot pricing and you receive the order in July, getting the money in advance, is that the time when you book it as sales or when you deliver it in, for example, China?
Rudolf Staudigl: We booked the sales when we shipped the materials.
Andreas Heine: But if that is six to eight weeks and you should know already your average sales price on the spot price business by the end of September?
Rudolf Staudigl: We are negotiating the prices before we ship the material.
Andreas Heine: I might jump in here from my personal perspective; it's more that the customers know that this price that we offer today when they get the materials in six to eight weeks' time seems to be a fair price.
Rudolf Staudigl: But it's already known now, from the customer's point of view as well as from our point of view. And in terms of the total volume, yes, as we said, we had some inventory reduction in the first quarter. That's why the total volume was higher than in the second quarter, but of course, volume will increase because of the ramp up of Tennessee. But just like in the past, we announced the total volume after the end of the year, but I think we gave a good guidance with coming close to 70% [ph].
Andreas Heine: Thank you.
Joerg Hoffmann: Operator, the next question is from Mr. Jean-Francois Meymandi from Morgan Stanley.
Jean-Francois Meymandi: Good afternoon. I would like to spend a bit of time on your guidance quickly. So if I look top end of your guidance of 10% increase just north of €1 billion, then I strike out the guidance is in chemicals, tells me -- and putting the 70,000 tons in, tells me that you would bake in some pretty conservative price assumption in, initially come for the second half of the year. Can you discuss a bit about that? The second thing is in polymers, you did have record margin, almost since IPO and for any quarter actually and there comes on a 3.5% sales increase on the low operating leverage business, what happened there to see you get such high margins and how can you sustain that? Was there something transformational or would that come down a bit. And the last one on silicones, was it mainly on construction over this trend or were there other elements there? Thank you.
Rudolf Staudigl: May I start with the overall guidance? I think as you said, yes, we are a little bit more conservative on pricing for the second half. For polymers, record margins in 2016 in the second quarter. Yes, as we said, it's a combination of that -- exchange rate has changed dramatically in last year, plus our headwind that we had from raw materials turned in last year, but we continue our path forward, growing the business strongly. Volumes having a high utilization in the plants above 90%, which allow us efficiency gains, and on the pricing side, we try to do as much value-based pricing as possible and only have very limited raw material for us. So in that combination, we are performing in 2016 strongly. We guided for roughly around 20% margin, and you know that we had a target margin set of 16% and for sure, we will look into that, whether we should revise that upwards. But, you also see that with an around 20% margin for the full year that we see that the second half, especially the fourth quarter, will be slower.
Jean-Francois Meymandi: That's on a seasonal basis, but that means that from your FX comment that your US business is more profitable than your European business? Is that fair in polymers?
Rudolf Staudigl: No, I wouldn't say that.
Joerg Hoffmann: I think in the US business, we actually benefit from our additional capacity that we invested in right in time, that is now up and running so that we see substantial volume growth in the US business, but I wouldn't, yes, make it just translation effects that our results get the benefit from.
Jean-Francois Meymandi: Okay.
Rudolf Staudigl: And for silicones, yet ethyl polymers with our products, we have a strong performance in construction, but it's not construction alone, as you know, our silicone set up is broad based, so when we report a healthy volume grows, it's definitely across all segments.
Joerg Hoffmann: Maybe less growth in automotive at this point in time, but certainly will come back.
Joerg Hoffmann: Operator, the next question is from Andrew Heap at Berenberg.
Andrew Heap: I just had a question on pensions first. Obviously liability has gone up. Are you saying that you're going to have to make like big cash-out payments towards that. And secondly, I want to ask, which end markets you're seeing right now in the Chemicals division performing quite well? And then, thirdly, how sustainable you see the margins in chemicals going into next year? Thank you.
Joerg Hoffmann: May I start with pensions, Andrew. As we said, it's more a mathematical exercise what we see. But nevertheless, the low interest rate environment is reality. So that's why we've flagged that we are looking into and making an additional one-off contribution to increase the funding level of our pensions. But that is, I mean, similar to what other German companies also do, and the order of magnitude is definitely reflected in our guidance for our net financial debt for this year. And we the order of magnitude, is maybe something around €50 million. That's something similar that we have done also in the past, and it's a one-time increase of the funding that we are talking about. But it's not decided, it's -- we are, yes, right in the middle of the assessment. And it will not have a P&L impact, and for sure, it will not change our dividend policy, as I said in my presentation.
Rudolf Staudigl: And in terms of the end markets, I mean we certainly see good growth in the construction industry, energy textile; there are certain applications of silicone, for example, in the automobile industry with that growing fast, with that combined with electric vehicles, for example, but that's I think the beauty of our chemical business that it's very broad-based and in the products we are in, we are one of the leaders in these businesses.
Andrew Heap: And then, just on the sustainability of the margins, like looking out into 2017-2018?
Tobias Ohler: Tobias said in polymers, we're certainly reviewing whether we increase our target and it depends on the overall economic growth and the economic environment. And this is why of course we cannot predict it by numbers over the next years. But our target setting I think is clear.
Andrew Heap: Okay. Thanks.
Joerg Hoffmann: Operator, the next question is from Patrick Rafaisz at UBS.
Patrick Rafaisz: Thanks, good afternoon. Few follow-up questions; one, on the pensions, can you explain how much of the increase in the liability was actually in Germany and how much was in the US? I think those are the two markets you mentioned affected by the interest rates? And on your discussions currently about at the top up to €50 million or so, what exactly will determine this decision or whether the other factors you're taking into consideration, so that we have a set process? Then, on the special income in polysilicon and I think, I didn't get what you said in the beginning, did you expect no more special income in polysilicon or is the guidance for the full year, I somehow have in my head, around 50 million, what's the idea for 2016? And then, lastly, on your utilization rates, at a pretty good 90% you mentioned. Nevertheless, CapEx are going down significantly this year as planned, if these utilization rates continue and volume growth also utilizes your new capacities, when would you say could new projects, new investment projects be triggered? Thank you.
Tobias Ohler: Maybe I start with the investment projects. I mean, we guided this year for a capital expenditure of around €425 million and we said that in the future, it certainly will be that order of magnitude, roughly and everything we need to do in our downstream chemicals business is covered by that. So we are not looking at huge new plans or the huge upstream capacity investments.
Patrick Rafaisz: Understood.
Rudolf Staudigl: And on the special income of polysilicon, I think if the market develops well, if our customers are doing well, then hopefully there are no more or significantly more special income items.
Tobias Ohler: And with respect to pension, Patrick, it's more than 90% in Germany and very little in the US, especially. And with respect to the top-up, I mean we are looking into that and as we described, that's not something unusual that some seeing other companies also do and we might do that either in the second half of this year or first half of next year.
Patrick Rafaisz: But can you confirm according to German law that there is no legal obligation for you to do that? Is that correct?
Rudolf Staudigl: Yes, that's correct.
Patrick Rafaisz: Okay. Thank you.
Operator: Thomas Swoboda, Societe Generale.
Thomas Swoboda: Yes. Hello. Congratulations firstly on polymers. This is indeed very nice; still I have three questions just on polysilicon. Firstly, I would like to ask you for Tennessee on EBITDA for the full year including the idle cost, do you expect a positive EBITDA contribution on a full-year basis from Tennessee? If you could comment on that, that would be very helpful. Secondly, also on Tennessee, you cannot ship directly to China, so you must be selling outside of China from Tennessee and you must be shifting around the volumes also from your German plants in order to arrange that geographically. My question is, are you expecting increased logistic costs in the second half in polysilicon because of this or for any other reason I might not have picked up yet? And this third one, I'm sorry for coming back on the pricing, these polysilicon pricing is always very confusing and this time, I'm even more confused than usual. You just said on one of the questions before that you are more cautious on price in the second half. Still when I look into the data we have available and this is the Chinese customs data. You currently do not have any premium on your contracts versus spot, while in history, you had a 20% premium roughly. At the same time, you also said that there is no capacity overhang in the high-quality polysilicon. So, without being wanting to be bullish, but my understanding would have been that your contract prices should continue to climb, so this is why I'm confused, why are you more cautious on pricing in the second half of the year? Maybe if possible you could give us some arguments, what could go wrong? And sorry for talking so long. Thank you.
Rudolf Staudigl: I have missed out with the pricing point . If you read the projection for the second half of the year and the uncertainty about the installations in China and so on, you have to be cautious. I mean at this point in time, we are not seeing a significant slowdown in demand. But it's cautioned, it's nothing out than caution. And on the logistic costs, I mean the logistic costs are not very relevant in polysilicon, because it's a high specific weight. And with respect to the EBITDA, a contribution of Tennessee, I know that's a very good question. But we do not give any specifics on individual sites. You know that we look at polysilicon as the segment that's our cash-generating unit. So we have one sales and we have three sites, two in Germany, one in the US, but we have no individual breakout.
Thomas Swoboda: Thank you very much, but I still must say polysilicon confuses me still very, very much. Especially your cautiousness on the guidance and the mathematics we can do, it does not really match. So my understanding would be at the end of the day, there is a probability that prices might dip quite significantly in H2. I do not have a better explication for your cautiousness, sorry.
Joerg Hoffmann: It's, I would say, just experience from the past. I mean, sometimes it's hard to predict what some suppliers do. Sometimes they go in with an extremely well pricing. I mean, we're definitely and we never have been the leader in low prices.
Thomas Swoboda: Thank you.
Joerg Hoffmann: Okay, operator, there seems to be no more questions in the queue.
Operator: There are no further questions.